Operator: Thank you for standing by, ladies and gentlemen and welcome to Tsakos Energy Navigation Conference Call on the Second Quarter 2024 Financial Results. We have with us Mr. Takis Arapoglou, Chairman of the Board; Mr. Nikolas Tsakos, Founder and CEO; Mr. George Saroglou, President and Chief Operating Officer of the Company; Mr. Paul Durham, Chief Financial Officer; and Mr. Harrys Kosmatos, Co-Chief Financial Officer of the Company. At this time, all participants are in a listen-only mode. There will be a presentation followed by a question-and-answer session. [Operator Instructions] I must advise that this conference is being recorded today. And now I pass the floor to Mr. Nicolas Bornozis, President of Capital Link and Investor Relations Advisor to Tsakos Energy Navigation Limited. Please go ahead, sir.
Nicolas Bornozis: Thank you very much and good day to all of our participants. I am Nicolas Bornozis, President of Capital Link and Investor Relations Advisor to Tsakos Energy Navigation to TEN Limited. This morning the Company publicly released its financial results for the second quarter and six months ended June 30, 2024. In case we do not have a copy of today's earnings release, please call us at +1-(212)-661-7566 or email us at ten@capitallink.com and we will have a copy for you emailed right away. Please note that parallel to today's conference call, there is also a live audio and slide webcast which can be accessed on the Company's website on the front page at www.tenn.gr. The conference call will follow the presentation slide, so please we urge you to access the presentation slides on the Company's website. Please note that the slides of the webcast presentation will be available and archived on the website of the company after the conference call. Also, please note that the slides of the webcast presentation are user-controlled and that means that by clicking on the proper button, you can move to the next or to the previous slide on your own. At this time, I’d like to read the Safe Harbor statement. This conference call and slide presentation of the webcast contain certain forward-looking statements within the meaning of the Safe Harbor provision of the Private Securities Litigation Reform Act of 1995. Investors are cautioned that such forward-looking statements involve risks and uncertainties which may affect TEN's business prospects and results of operations. And at this moment, I would like to pass the floor to Mr. Takis Arapoglou the Chairman of Tsakos Energy Navigation. Please go ahead, sir.
Takis Arapoglou: Thank you, Nicolas. Good morning, everyone and thank you for joining us today at our call for our Q2 First Half 2024 Results. The financial results activity and strategic initiatives presented today, represent a masterclass in running a best-in-class shipping company. This contains, among others, continued solid profitability and operational excellence, both systemic and opportunistic fleet renewal with state-of-the-art vessels, timely and bold dry-docking program, a balanced spot stroke time charter strategy allowing TEN to capture the increased demand for longer-term fixings, resulting in continuous increase in the minimum contracted future income. And lastly the profitable unwinding of leasing contracts and the continued excellent relationships with our banking partners. All of the above allow TEN to continue servicing the needs of its blue chip clients in the best possible way, while maintaining a healthy cash position to fund accretive future growth. Equally, it allows TEN to be able to continue its uninterrupted dividend payments since inception, increasing its dividend payment this year by 50% compared to 2023. So on behalf of the Board of Directors of TEN, congratulations once again to Nikolas Tsakos and his team, and we all look forward to their continued success. In what looks to be a continued solid tanker market. Thank you.
Nikolas Tsakos: Thank you, Chairman. And first of all, from all of us here in Athens, Greece our thoughts and heartfelt wishes to all our American friends on this Solemn Anniversary today of 9/11. With this, thank you for your kind words, Chairman. It has been another very dynamic and fruitful year for TEN in the industry. We are taking as much advantage of the positive circumstances, to continue growing our fleet, to modernize our fleet. It has been a very large operational infrastructure. In order to take delivery of our dual fuel vessels, we have the largest concentration of dual fuel vessels in our peer group, and right now all of them are in the water, operating as they should, reducing emissions and aiming for our 2030 emission -- significant reduction goals. For those of you that are old enough to remember, TEN started back in 1993 after the OPA ‘90 with the name to have a dual double fleet way before the regulation deadline and this was something that was achieved back then with a gigantic new building program that has right now exceeded 100 ships over the last 30 years and an investment in excess of $8 billion, every vessel being a much more environmentally friendly and innovative product from the last vessel. And we have been able to do this and make profits at the time, keep a significant cash, and also reward our shareholders with an uninterrupted dividend. We’re proud today to be able to announce a 50% increase on an already significant dividend. And I think this will be one of the highest yields in common dividend and I hope the market will appreciate this. Well, as the Chairman said, the fundamental -- the reason we're doing this is, first of all, because we have a cushion of at least $2 billion of contracted business at the minimum. As you know, our company does most of its business on the profit sharing arrangement with the major oil companies, and this is the minimum we expect from them. It could be another third on top of that in case we have profit sharing, which we expect to have profit sharing going forward in the days to come as we are. Our shuttle tanker business with all the major oil companies is progressing and increasing, and I have a feeling it will further increase as we go forward. And I think a very important part happened last week. On the island of Chios, we have the first ever private academy, a naval academy, to produce men and women as captains, engineers, naval architects with huge know how for our fleet. I think this puts us in a significant competitive advantage to all our peer group because we're going a step further, actually not only hiring and training our seafarers after they finished their education, but be with them since inception. And I think we want to congratulate the [Taco] (ph) shipping group for taking such a bold step and producing the future of shipping, because we can be here spending billions and billions of dollars in state of the art ships, but as long as we do not have the right people to man those vessels, our vessels are useless. So we see this as a milestone going forward. And with that, I will ask our President, Mr. Saroglou, to give us a quick and to the point presentation of where we have been and where we are going so far in 2024.
George Saroglou: Thank you, Nikolas. Good morning to all of you joining our earnings call today. 2024 continues to be a good year for tankers and TEN for the same reasons that played out for the last two and a half years. We have an aging fleet and low order book. We have changes in trade flows, ongoing crude and oil product movements, as a result of western sanctions on Russian seaborne oil that had a multiplying effect on the tanker ton-mile growth. And we have continued geopolitical tensions like more recently, the avoidance of crossing the Red Sea, as a result of Houthis attacks on merchant vessels. Let's go to the slides of our presentation. The first slide is, we see the growth of the company since inception, despite the five major crisis that we faced since 1993. Each time we came out stronger thanks to our operating model and cumulatively, in the period since 1993, the company posted an average growth of 21% in terms of total fleet deadweight tonnes. The next slide, we have built, as you see, a very diversified fleet catering to the needs of our clients, spanning from crude carriers to product tankers, LNGs and shuttle tankers. Today we have a pro forma fleet of 74 vessels, 62 operating in the water and 12 new buildings under construction. The red and blue colored vessels in the slide, denote vessels trading in the spot, the red, and period market with profit sharing, the blue; while black colored vessels denote vessels that are fixed on time charters. 28 out of the 62 vessels in the water, or 45% of the fleet has market exposure, spot and profit sharing, which is good in today's environment, while 52% -- of the 62 vessels in the water or 85 -- or 84% of the fleet are in secured employment, time charters and time charters with profit sharing, which means that the propellers are spinning 24/7. In Slide 5, we see the Company's split growth and capital market access since inception. The blue boxes denote common shares offering while the red offerings in preferred shares, the first three preferred shares totaling $188 million of par value have been already redeemed together with a privately placed preferred instrument of $35 million, creating savings for the Company in excess of $18 million per year on coupon payments. Next slide presents the Company's current and long-term clients. As you can see, we have a blue chip customer base consisting of all major global energy companies, refineries, commodity traders with Equinor currently topping the list as our larger charter with 13 vessels, all on long-term time charter. Slide 7 presents the all-in break-even costs for the various vessel types we operate in our company. Our operating model is very simple. We try to have our time charter vessels generate revenue to cover the Company's cash expenses and let revenue from spot trading vessels to make a contribution to the profitability of the Company. Fleet utilization for the six months of the year was 92%, still a high number despite having eight vessels undergoing scheduled repairs and four vessels earmarked for sale, embarking in repositioning voyages. And thanks to the profit sharing element in the fleet, for every $1 per day increase in spot rates, this has a positive $0.12 impact in annual earnings per share based on the number of vessels that currently has exposure on spot rates. Managing debt is an integral part of the Company's strategy and capital allocation. Since the end of 2016, the corporate fleet grew by more than 40% in terms of deadweight tonne, while at the same time total bank debt came down by almost 7%. One must consider also that in addition to the reduction in the total bank debt, the Company also redeemed $211 million in three series of preferred shares, plus a privately placed preferred instrument. And so today, the net debt to capital ratio is currently at 42.4%, which is considered to be low. Fleet modernity is a key element of our operating model. This slide shows fleet renewal and greenship growth since January 1st, 2023 as we transition TEN for its next growth phase. We contracted and acquired 21 vessels in total with an average age of one year and 2.3 million deadweight tonne. Nine vessels are already in the water earning money for the Company, while 12 vessels are a new building that were purpose-built to serve the transportation requirements of the Company's long-term clients. We have more than doubled the cargo capacity of the fleet with new, more environmentally friendly, greener eco-built tankers. This slide highlights the Company's financial performance since 2004. As the fleet grew, so did the Company's key financial indicators. We always maintain strong cash reserves to manage the ups-and-downs of the shipping cycle. We had manageable debt levels and traded mostly profitable through the 20 plus years, with the last two years, generating consecutive record profit years. The first six months of 2024 have given TEN the opportunity to further upgrade the quality and earnings power of the fleet. We expect the new additions to contribute positively in the overall financial performance of TEN going forward. In addition to paying down debt, dividend continuity is important for common shareholders and management. TEN has always paid the dividend irrespective of the market cycle. Our dividend policy is semi-annual. Last year, we paid the total dividend of $1 per share. This year, we announced a total dividend of $1.50, a 50% increase in the distribution. We have already paid [$0.60] (ph) on July 18, we announced today the payment of $0.90, with payment to be determined in our upcoming BOD strategy meeting in October. Inclusive of this upcoming dividend, TEN has distributed over $827 million of common and preferred share dividends with $573 million to common shareholders since the Company's 2002 New York Stock Exchange listing. Global oil demand continues to grow. Despite financial and geopolitical headwinds, the International Energy Agency expects global oil demand to grow by approximately 1 million barrels per day this year. It is going to be another record year after last year, with most of the growth coming again from Asian and the Asia Pacific region. On the supply side, most of the growth is coming from non-OPEC-plus countries, Brazil, the United States of America, Guyana and Canada. The majority of the additional supply is in the Atlantic Basin, while demand growth continues to be concentrated in the Pacific, boosting long-haul tanker demand. As global oil demand continues to grow, let us look at the forecast for the supply of tankers. The order book as of August stands at 706 tankers, a little over 13% over the next three year. This figure still represents a low number of new buildings. At the same time, a big part of the fleet, over 2,360 vessels or 44%, is over 15 years. And 865 tankers, or 16% of the current tanker fleet are currently over 20 years. So this order book that we have is quite manageable. The last slide shows the scrapping activity since 2018. We believe scrapping activity will pick up as the global fleet gets older and older tankers are getting out of favor for long-term business by major charters. And with that, I will pass -- I will ask Paul and Harrys to walk you through the financial highlights of the first half and second quarter 2024. Paul?
Paul Durham: Well, thank you George. Great stuff as always from you. Over the past months the Company has taken advantage of utilizing in-house in -- sorry, in-house resources to restructure much of its organization and to develop the Company in new directions in the remaining months of the year. Therefore, this will continue to be a major focus for management. The tanker market fundamentals continue to remain firm and assisted by the various geopolitical events around the globe. We are confident that TEN will continue to be a main beneficiary. And these were just a few issues on confidence in our company.
Harrys Kosmatos: So let me try to increase our confidence by going over some details on the numbers. So let me take it over from here. Thank you Paul. So with the fleet averaging about 62 vessels in the water, eight of which going through scheduled dry dockings, and three performing repositioning voyages. Fleet utilization for the first half of 2024 settled at 92%, a slight drop from the 2023 equivalent period. In this backdrop, TEN in the first half of 2024 generated gross revenues of $416 million and operating income of $179 million, which included $49 million of capital gains. Fleet operating expenses of $98 million increased in-line with the larger number and size of vessels in the fleet. Operating expenses per ship per day, however remained almost identical to the 2023 first half at $9,367, thanks again to efficient management performed by TEN's technical experts on-shore and on-board the vessels. TCE per ship per day time charter equivalent, that is for the 2024 first half was at a healthy $33,830 even though impacted by repositioning voyages, dry docking, and spot market softening. Driven by Chinese reduction of oil imports, something however that is expected to be temporary. Adjusted EBITDA for the 2024 six months was at $214 million. A net income of $130 million was recorded for the first half of 2024, generating earnings per share of $3.96. Of interest, dividend payments for the company's outstanding preferreds during the 2024 first six months were $4.6 million lower the amount paid during the 2023 first half. Results for the second quarter of 2024 were equally attractive. A fleet of 62 vessels generated gross revenues of $214 million and operating income of $103 million, which includes $32.5 million of capital gains. Fleet operating expenses for the second quarter of 2024 impacted by three dry dockings and repositioning voyages in a fleet larger than the one in the second quarter of 2023 were at $49.7 million, only $3 million higher than the second quarter of 2023 levels. Operating expenses per ship per day were, however $150 lower than the 2023 second quarter at $9,347, with TCE per ship per day closing the quarter 3.7 times higher than OpEx level at $34,235. Adjusted EBITDA finished the quarter at $113 million, due to a seasonal softening in spot rates and vessel repositionings. The resulting net income of $76.4 million produced $2.36 in EPS. Again, preferred coupon payments during the quarter -- during the second quarter of 2024 were approximately $2 million lower than 2023 second quarter amount. As of June 30, 2024, total bank debt increased to $1.8 billion, corresponding to a higher fleet size as five vessels acquired earlier in the year from Norwegian concerns began entering the fleet and two dual-fuel aframax new buildings were delivered during the first quarter of the year. At the same time, net debt to capital was at a very comfortable 42.4%. And with this, I'll turn it back to Nikos for the closing remarks. Thank you.
Nikolas Tsakos: Thank you, Paul, thank you, Harrys for putting the right numbers behind the efforts of all our men and women on-board our ships and our onshore personnel and the team here. It's been an exciting first six months, and I think we're looking for a very interesting period for the remaining of the year. It is a year of -- I think this is a milestone, 2024 has been a milestone period of growth for the Company. As George said, we tend to grow always in difficult times, but I think this is an intriguing time where we depend on our clients, the major oil companies, and their vast appetite for first-class operators to continue growing and servicing their needs. And with this, I’d like to open the floor for any questions. Thank you.
Operator: Thank you. At this time, we'll be conducting a question-and-answer session. [Operator Instructions] Thank you. Our first question comes from the line of Poe Fratt with Alliance Global Partners. Please proceed with your question.
Poe Fratt: Good day. Could you help me understand whether the dividend, the $0.90 dividend will be paid this year or will it be paid next year?
Nikolas Tsakos: Well, the dividend, we will -- will be paid this year. As last year, we always announce the date after our strategy meeting, which is October -- the end of October.
Poe Fratt: Okay, great. And increasing the dividend rate, your stock price has been a little volatile. It is fallen back from its high in the 30 -- low 30s. Where do stock buybacks fit in your capital allocation strategy?
Nikolas Tsakos: Well, our stock buyback is not in the forefront of our financial strategy. And the reason is, as you know, we still have quite an illiquid stock and we are not -- we are not having a very strong concentration of 40% from the insiders. We rather reward shareholders for staying rather we are paying them to leave. So we are -- this has been our strategy. I mean, we used to do some buyback back in the day because we've been around so long, we've done everything. But I think from experience, we would rather pay our shareholders to stay than, you know -- than send them home with a check. So this is for the time being. And the company has also growth prospects. We are taking part in significant new contracts with very good returns and accretive returns. So I think dividend's growth is number one and that's where we are.
Poe Fratt: Okay, understood. And that sort of segues into my next question, which is you ordered five LR1. What is the rough total amount that you will spend on those? Is $350 million total appropriate? And then secondly, have you paid a down payment or deposit on those five LR1s? And if not, when do you anticipate paying a down payment?
Nikolas Tsakos: We have made the pay of the first down payments. Yeah, you are approximately right, Harry, why don't you go through the numbers?
Harrys Kosmatos: Okay. So let me see here. So the five LR1s, we expect that obviously we are going to raise some plain vanilla bank debt on them. So far, we have paid approximately $5.6 million of equity on the one vessel. And as the order progresses, then equal amounts are expected to be paid for the other four.
Poe Fratt: Okay.
Nikolas Tsakos: So the price -- your approach, we do not want our -- we do not give exact price because we don't want most of our competition to come and do the same. But I think our -- the $350 million is an approximate correct number.
Poe Fratt: Okay. I can follow up on -- offline on that. But as far as the investment in the quarter, you had a net investment of about $105 million. I calculate during the quarter that you sold about $158 million of assets with the Neo Energy, the [Euronike] (ph) and then the Izumo Princess. Is that accurate? And then how much did you spend on acquisitions in the quarter? And then did you make any new build payments?
Nikolas Tsakos: Well, I think as Harry said, we have -- since the first quarter, of course we have increased our payments because that refers to the June 30th. Since then, on top of the payments that Harry said, we have made the down payments for the other four, the remaining four, the LR1 vessels in addition to the $5 million that we paid for the first -- for the first down payment.
Harrys Kosmatos: Most of this detail will be recorded in the 6-K which we expect to publish at the end of the month. But if you want it sooner, then obviously we're open to discuss it offline.
Poe Fratt: Sounds good. Thank you.
Operator: Thank you. [Operator Instructions] Mr. Tsakos, I'm not seeing any other questions at this time. I'll turn the floor back to you for any closing comments.
Nikolas Tsakos: Thank you very much. Well, I think as I said it has been a very productive period, a period of growth. But I think what goes also is the continuous appetite and chartering of our ships to the major oil companies. Our shuttle tankers are out for long periods of time, five to seven to 10 years to major oil companies. And the same goes for the majority of our suezmaxes and vessels that are coming. Our investment in the LR1s is the segment of the market with its lowest order book. And we believe that there is still a future, an appetite for vessels like this. And that's why we are renewing our fleet there. And we are very proud for the operational, so far, excellence of our dual-fuel vessels. And on top of that, as I said the milestone for the Company has been our technical management inauguration of an enhanced non-profit naval private academy to produce and educate our people for the next future in technology and innovation for our vessels. Looking forward for reporting next significant strong quarter also going forward and wishing everybody all the best on this difficult day for our American friends. Thank you very much.
Operator: Thank you. This concludes today's conference call. You may disconnect your lines at this time. Thank you for your participation.